Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Eltek Ltd. First Quarter 2018 Financial Results Conference Call. All participants are present in a listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded June 27, 2018. Before I turn the call over to Mr. Yitzhak Nissan, Chairman of the Board and Chief Executive Officer; Roberto Tulman, Deputy CEO and Chief Technology Officer; and Amnon Shemer, Chief Financial Officer I would like to remind participants that comments made during this conference call may contain projections or other forward-looking statements regarding future events or the future financial performance of Eltek Limited. These statements are only projections and reflect the current beliefs and expectations of the company. Actual events or results may differ materially. With that said, it is routine for internal projections and expectations to change as quarters progress. All forward-looking statements are based on information available to the company on the date hereof, and the company assumes no obligation to update such statements. Please refer to the documents that the company files from time-to-time with the SEC, specifically the company’s annual report on Form 20-F, it’s periodic reports on Form 6-K, and the Safe Harbor language contained in the company’s press releases. These documents contain and identify important factors that could cause the company’s actual results to differ materially from those contained in its projections or forward-looking statements, which the company urges all investors to consider. Eltek undertakes no obligation to publicly release their revisions to such forward-looking statements that may be made to reflect the events or circumstances after the date hereof or to reflect the occurrence of unanticipated events. I will now turn the call over to Mr. Yitzhak Nissan. Mr. Nissan, please go ahead.
Yitzhak Nissan: Thank you. Good morning, everyone. Thank you for joining us and welcome to Eltek’s 2018 first quarter earnings call. With me are, Amnon Shemer, our Chief Financial Officer; and Roberto Tulman, Deputy CEO and Chief Technology Officer. We will begin by providing you with an overview of our business and a summary of the principal factors that affected our results in the first quarter, followed by the details of our financial results. After our prepared remarks, we will be happy to answer any of your questions. By now everyone should have access to our first quarter press release, which was released earlier today, the release will also be available on our website at www.nisteceltek.com. Our revenues in the first quarter of 2018 increased to $8.9 million, compared to revenues of $8.5 million in the first quarter of 2017. While we are still facing challenges in our manufacturing operations, we are deploying our best resources to resolve them. I will now turn the call over Amnon Shemer, our CFO to discuss our financials. Amnon, please?
Amnon Shemer: Thank you, Yitzhak. Let me please turn your attention to the financials for the first quarter of 2018. During this call, I will be discussing also non-GAAP financial results such as EBITDA. Eltek uses EBITDA as a non-GAAP financial performance measurement. Please see our earnings release for our definition of and the reasons for its use. Revenues for the first quarter of 2018 were $8.9 million, compared to revenues of $8.5 million in the first quarter of 2017. Gross profit was $444,000, 5% of revenues, compared to gross profit of $485,000, 5.7% of revenues in the first quarter of 2017. Operating loss was $626,000, compared to an operating loss of $630,000 in the comparable period of 2017. Net loss was $670,000, or $0.33 per fully diluted share, compared to a net loss of $814,000, or $0.40 per fully diluted share in the first quarter of 2017. EBITDA was a negative $185,000, 2.1% of revenues, compared to a negative EBITDA of $210,000, 2.5% of revenues in the first quarter of 2017. Net cash used in operating activities amounted to $859,000, compared to $776,000 used in operating activities in the first quarter of 2017. We are now ready to take your questions.
Operator: Thank you. [Operator Instructions] The first question is from Slomi Ohana [ph], Private. Please go ahead.
Unidentified Analyst: Hello. Hi, everybody. I would like to know when Eltek will be profitability. You mentioned, all this time, that next quarter, next quarter that Eltek will be profitability and until now it’s not happened? I will be happy to have your answer.
Amnon Shemer: Hi, Slomi. This is Amnon.
Unidentified Analyst: Hi.
Amnon Shemer: What I can assure you is that the company’s management is doing the best, working very hard in order to return the company to profitability again. Not only that, also Yitzhak Nissan [indiscernible] investing from the own resources, financial resources cash and to the company as we have reported. We are trying and doing the best we can in order to increase sales and deal with the manufacturing challenges that we have in the company.
Unidentified Analyst: Good luck. Thank you.
Amnon Shemer: Thank you, Slomi.
Operator: [Operator Instructions] There are no further questions at this time. Before I ask Mr. Nissan to go ahead with his closing statement, I would like to remind the participants that a replay of this call will be available tomorrow on Eltek’s website at www.nisteceltek.com. Mr. Nissan would you like to make your concluding statement.
Yitzhak Nissan: Yes. I would like to thanks all of you for joining us on today’s call. Before we conclude our call, I would like to thank once again all our customers, partners, investors and Eltek team for their continued support. Have a good day. Thank you very much.
Operator: This concludes the Eltek, Ltd. first quarter 2018 financial results conference call. Thank you for your participation. You may go ahead and disconnect.